Operator: Ladies and gentlemen, good day and welcome to the Clover Health First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the prepared remarks.  As a reminder today's call is being recorded. I would now like to turn the call over to Derrick Nueman, Head or Investor Relations and Corporate Strategy for Clover Health. Please go ahead.
Derrick Nueman: Good afternoon, everyone. Joining me on the call today is our CEO, Vivek Garipalli; our President, Andrew Toy; and our interim CFO, Mark Herbers. We will discuss first quarter results and answer your questions. This call is being recorded. Before we get started, I would like to remind you that our first quarter's earnings materials, including the release, are available on our website at cloverhealth.com. I'd also like to caution you that we may make forward-looking statements during today's call that are subject to risks and uncertainties, including expectations about future performance. Factors that may cause actual results to differ materially from our expectations are detailed in our SEC filings, including the Risk Factors section of our most recent Annual Report on Form 10-K and in our other periodic SEC filings. Information about non-GAAP financial measures referenced including a reconciliation of those measures to GAAP measures can also be found in earnings materials available on our website. Lastly, I want to know we updated the names of our Medicare Advantage and Direct Contracting segments to our Insurance and Non-Insurance segments respectively. We believe that this better reflect each segments, current role and contribution to our business. There has been no change to the existing composition of the segments, and previously reported financial results were not impacted by these changes. Finally, Direct Contracting will be known as ACO Reach starting next year, and will fall into our Non-Insurance segment. With that, let me now turn over the call to Vivek.
Vivek Garipalli: Thanks, Derrick, and thanks everyone for joining us today. We are really excited about Clover start to 2022 and the groundwork we're laying for 2023 and beyond. We believe we can deliver growth well above industry averages, deliver improving margins, and ultimately generate significant positive free cash flow. Let me now cover some highlights from this quarter before handing it over to Andrew for a more in depth discussion. Leading off, our Q1 revenue grew significantly to $874 million while operating expense growth slowed. Both our Insurance MCR and Non-Insurance MCR improved significantly versus the fourth quarter to 96.4% and 99.8%, respectively. And the Clover Assistant continues to be a differentiator, showing an Insurance MCR differential of over 1,000 basis points for returning members whose PCPs use the Clover Assistant versus those who don't. So with that, let me turn the call over to Andrew.
Andrew Toy: Thanks Vivek. I'm also very pleased with our result in Q1. I'm cautiously optimistic around the rest of 2022. It is early in the year and we don't want to get ahead of ourselves, particularly given our rapid growth and the unknown surrounding COVID-19. Therefore, we are maintaining some conservatism as we need more data points before we change any of our expectations. Our key areas of focus right now are on continuing to build an intelligent, sustainable and efficient growth model, investing in the Clover Assistant to deliver data driven value-based care and rounding out our leadership team with top level talent. We believe these efforts will benefit 2023 by driving further improvements across Insurance MCR, positive contribution from our Non-Insurance business, and a more efficient operating structure. In short, we believe there are multiple levers we can pull to drive margin improvements while maintaining above industry average growth rates. As mentioned earlier, we delivered strong top line revenue growth to begin 2020 powered by our technology driven approach, PPO first planning strategy and why inclusive networks. Our year-over-year insurance growth demonstrates the moat our PPO products have created in the market by pairing affordability with choice. Our Non-Insurance beneficiary growth of 179% since last quarter demonstrates our differentiated ability provided by the Clover Assistant to bring more doctors into value-based care. In our Insurance business, we are focused on continuing to execute our mission of serving our members with high quality care across a wide network while also balancing intelligent adjustments to benefits and network design to drive nearer term efficiencies. One item worth highlighting is our differing MCRs ours by region. Maturing markets such as counties that we refer to as our northern New Jersey region and newer growth markets such as Georgia have significantly better dynamics than more challenging markets such as counties that we refer to as our Southern New Jersey region. We are currently working on measures to achieve solid gross margins across all segments, and we plan to share more specifics on the next several earnings calls around the actions we are taking that we believe will drive another stepwise improvement in 2023 MA MCR. In our Non-Insurance business, there is a similar dynamic of balancing growth and margin. We are analyzing data and learnings from the first year of the program to strengthen our go-to-market efforts around the providers and regions we target. Our goal for our Non-Insurance business is a course for to provide a positive margin contribution. We are also working on reducing our operating expenses as a percentage of revenues. You are seeing some results of the initial efforts as operating expense growth is slowing. And we expect year-over-year growth rates to decelerate throughout the remainder of the year. On the technology front, we believe that the club system is still in its early innings with incredible potential to be realized. That said, we are excited about what we've already accomplished growth in total lives under Clover Health Management, increased clinician use, and our rapid software iteration cycle. And we've done this across a wide network, which is something most plans can't do. Because of Clover Assistant's untapped potential, we continue to invest heavily in the platform. I believe it is a key differentiator, particularly the strong differential in MCR between members whose providers use the Clover Assistant and those who do not. To build on this momentum, we have a roadmap of new capabilities and features designed to further augment its clinical value. We also see a number of ways to increase the reach of the Clover Assistant. Ultimately, we see CA as a way to bring more clinicians into value-based Medicare on both the Medicare Advantage and fee-for-service side. We are continually working on ways for clinicians to do CA for more of their Medicare panels and the launch of the Direct Contracting program which we noted above will transition to the ACO reach program in 2023, significantly helped with that. Our goal from a CA product standpoint is to allow for total Medicare panel coverage with any given PCP, including those that have never participated in value-based care. And we continue to engineer the business with this in mind. Finally, we strengthened our management team significantly this past quarter. We brought onboard, a Chief Technology Officer, General Counsel, and Head of Value-Based Care. We are thrilled by the caliber of talent we've been able to attract and believe these executives will be pivotal to helping us achieve our goals and significant long-term potential. With that, I will now have it to Mark for the financial update.
Mark Herbers: Thanks Andrew. We delivered $874 million in revenue in the first quarter. Our strong year-over-year growth was driven by the large increase in lives under Clover Assistant Management due to our differentiated capability to participate in both Medicare Advantage and Original Medicare. Moving to medical expenses. Our net medical claims incurred for the quarter were $862 million. Our GAAP Insurance MCR was 96.4% down 640 basis points compared to the fourth quarter and within our guidance range. We saw increased COVID-19 costs in January, but there was much less of an impact for the remainder of the quarter. Our non-insurance margin was 99.8%. First quarter, non-GAAP adjusted operating expenses were $84.4 million representing 10% of total revenues. This quarter also included approximately 10 million of broker payments specific to AEP that will not occur in other quarters this year, and headcount is only expected to grow moderately. We also recognize the premium deficiency reserve benefit in the quarter, equating to a non-cash net gain of $27.7 million. Our GAAP net loss for the quarter was $75.3 million. Our adjusted EBITDA loss for the first quarter was $71.8 million Now that our adjusted EBITDA excluded the $27.7 million of PDR benefit as this is not reflective of operating results. Our cash, cash equivalents and investments totaled $723 million as of March 31, 2022. Additionally, in conjunction with earnings, we have filed a universal shelf registration statement on Form S3 in order to maintain good corporate housekeeping. The S3 is not yet effective, and we have no current plans to utilize the S3. Finally, we are maintaining our 2022 guidance. Now, let me turn the call over to Vivek for some closing comments.
Vivek Garipalli: Thank you, Mark. To wrap up, I wanted to close with some general thoughts. There is market uncertainty for almost every company today. What I believe will matter when we look back in 10 years in terms of whether or not a company in healthcare has a massive market value is if that company did the following. One, make a massively positive impact by solving real problems. Two having accomplished that through the creation of a significant technology moat. The key ingredients of those special companies I believe will be the following; number one, an inspiring and ambitious mission that has been consistent; two, an entrepreneurial team; and three, a demonstrated willingness to make hard decisions. We look at various companies recent earnings reports they have best can be described as mixed. Here are some aspects of Clover that make me excited, not just about today, but about the near-term to medium term. Clover is growing while expanding our technology moat. Our clinical impact is growing materially along the way. Margins are improving. Profitability and the generation of a free cash flow engine are insights. And on a macro basis, our business is generally agnostic to inflation, economic cycles, commodity prices, and uncertainty around supply chain. We continue to believe that if a number of things fall into place, it is even possible we may be profitable next year on a non-GAAP basis, excluding non-cash expenses and non-recurring expenses. Thank you and we look forward to updating you more on our efforts as the year progresses. With that, let's take questions.
Operator:  We will take our first question from Richard Close, Canaccord Genuity.
Richard Close: I was curious, if you guys could talk about the MCR a little bit. I guess you're reiterating guidance, the 95% to 99%. But based on the first quarter results, seems like you guys are being conservative, which is understandable there. But can you talk a little bit like how it progressed from January to March just to give us some perspectives there?
Andrew Toy: Sure. So obviously, MCR, as you say, has improved, which we're very pleased about and which we talked about last year that we hope to see that in 2022. We did have COVID effects, which I think you were alluding to within the first quarter more in January and February. And some of those effects obviously fluid to do with the economic, all of that inside that overall MCR that we've seen, and we've decided to take an approach where we're going to look at what happens none of us really know what's going to happen with COVID going forward. We hope however that asking you that there are future variants as we learned how to treat this as a society, more rewards is now getting baked into how we manage health care within the country. So, we do believe that our ability to manage the condition -- manage the pandemic is stabilizing, and we are therefore comfortable reiterating our guidance around our MCR. So, we do see things generally improving. We do think there is a possibility of future sort of like events around variance and things like that. And Q1 did have COVID in it.
Richard Close: And then with respect to the regional information that you provided for 2021, can you guys talk a little bit about Southern New Jersey? And I guess that was 120, something like that. How do you expect to address that? How quickly could you move the needle on that, do you think? Just any details there would be helpful?
Andrew Toy: Sure, absolutely. So as you're pointing out, our more mature markets do have a lower MCR, and we do think that there's a lot of opportunities for our newer markets, not just South New Jersey, but also Georgia to look like our mature ones overtime. So, we do think that's a natural progression of the business. In Southern New Jersey itself, we do plan to be more aggressive in our MCR improvement efforts will have more to share on that. So we have a lot of levers in our at our disposal around Clover Assistant deployments, around working with our physician partners in Southern New Jersey, around deploying things like our income care program within that region. So, there are levers that we can deploy there. We do think we can do better over time. And we did once you emphasize us well that we do -- all of our MCR as much as one number, but we do see regional differences as we plan and manage those differences regionally as well.
Operator: Our next question comes from Jason Cassorla of Citi. Please go ahead.
Jason Cassorla: Just a quick clarification the start, of the 211,000 lives under Clover Assistant Management, I just want to make sure virtually all of your 172,000 DCE lives are included in that set. That's correct?
Andrew Toy: That is correct.
Jason Cassorla: Okay. So I guess just based on my math, it looks like the lives on your Clover Assistant Management within your MA book specifically, looks like it increased from 34,000 in 4Q to 39,000 in 1Q, but it only represented about 46% of total MA members in 1Q verses about half last quarter. So is there anything to call out on that deceleration and penetration there besides just maybe simply higher membership growth to start the year? And you would expect greater Clover Assistant Management penetration within the book over the course of '22? Or anything else to call up there would be helpful?
Andrew Toy: Yes, great question. So definitely, as you framed it, we have quite strong growth. And what will actually happen into those numbers is that we wait to see, claims data, physician data, lets us know which PCPs are actually being seen by our members in the various regions we're going. As we expand geographically as well as grow, what that means is that it takes a little while for us to build up that CA user base in those markets. We are actively doing that in all of our markets right now, but there is a bit of a lag as we grow in those markets to see which PCPs we should be targeting. So, we feel good about our ability to keep that number moving up into the right. The total number of CA visits and members who have a CA doctor is increasing year-over-year, but because we are growing rapidly as a percentage, you might see a little bit of that flattening, but I do believe that we will see that continue to move upwards as we then stabilize and improve in the new regions.
Jason Cassorla: That's really helpful. Thank you for that color. And then just as my follow-up here, just given the Clover model and your offerings on the MA side and in context of the finalized 523 without any risk coding considerations. I guess it'd just be helpful to understand how you're approaching MA bids for ’23? And any color on how you're balancing kind of the growth versus profit for next year kind of in tune of what you were discussing in your preparing marks? And I guess just in context of your comments last call around the theoretical building blocks to getting closer to break even EBITDA would be helpful?
Andrew Toy: Yes, absolutely. So, as we said -- well, first of all, bids are being are filed in June and June. So we'll have more to report on exactly what we did coming up soon, and we'll be able to talk about that on the general theme. What we want to do is continue to generate industry defining and industry beating growth, but we are now certainly not looking at growing at all costs, right? We want to balance our MCR, balance our operating costs, balance our ability to access the wide network market, which we believe is the product that Medicare eligibles are looking for, alongside the ability to manage those costs within our plans. So, we are certainly balancing those two things as to look at the bid one tool to look at which markets we enter. We have a tremendous amount of data both on the DCE ACO reach side as well as within M&A that helps us do that. So, you'll see us continue to grow strongly, but you will also see us focus on having nuanced data driven choice choices within each of these areas to improve the MCR.
Operator: Our next question comes from Whit Mayo of SVB Securities. Please go ahead.
Whit Mayo: I wanted to just go back to the 3,600 users on Clover Assistant in the quarter. I presume the majority of that growth came from DCE. Is there any way to maybe breakout what the really, I guess the organic growth was in the M&A Clover Assistant users?
Andrew Toy: Yes, so, we actually don't break out those particular numbers, and the reason we don't break them out is because there is overlap between the doctors that we're signing up for Clover Assistant within both the fee-for-service and the MA population, right? Sometimes there's overlap, sometimes there is it could be just, it could just be MA, it could just be fee-for-service. But as we discuss with the prepared remarks, my goal -- our goal is to cover as much of that physician's panel, Medicare panel, as possible going forward. So, the way we're really tracking this is number of PCPs who are on Clover Assisted and that's a number that we have shared. And we might be able to share some breakout between like, how many of this are double between M&A and fee-for-service, but that's the KPI that we're generally tracking.
Whit Mayo: I mean, we can take it offline, I guess. I'm just trying to get a sense if you just normalize for DCE, just to see kind of what that number is because I do fully appreciate the desire not to break out between A&P for service. My other question, Andrew, you referenced, I think you were trying to reference Clover Home Care, sort of in your comments as a potential trend bender in the Southern New Jersey market. Can you just elaborate a little bit more on that, maybe discuss the capability so that we have a full appreciation really for that business? Number one. And number two, for what you think you can accomplish with that?
Andrew Toy: Yes, absolutely. So Clover Home Care is absolutely a key anchor of our strategy. And that's where we are saying that at some point for the multi chronic for the multiple comorbid, it does make sense for them to be looked after in their own home. And what we say is, we work with a primary care physician, we continue to manage them with Clover Assistant, both within their original PCP, as with our home care program, and we transfer them at some looking after them and having regular visits with them in the comfort of their own home. By doing this, we're able to provide more accurate care, more longitudinal care, do you think post-discharge after they've unfortunately gone to the hospital, and basically just all wrapped, holistically managed them, in conjunction with their existing PPP. We've had all throughout the Clover Assistant platform is coordinating data sharing and coordinating how we actually render care. I've looked at like just added Vivek here who has, who can add some more commentary on this.
Vivek Garipalli: Thanks Andrew. And great question. So, I think one of the really unique aspects of our home based Primary Care Program is, its direct employees of Clover in terms of the home-based primary care physicians. What we've seen in the in the marketplace is when in network primary care physicians are referring to a home-based Primary Care Program, there's a lot more coordination and collaboration there. So, if you take typical markets where some of these complex care centers end up popping up, the enrollment rate of clinical eligibles very rarely goes above 30%. So while there's a MedEx impact, you have 70% plus, of those that are clinically eligible, won't actually enroll in those programs. And there's lots of local market reasons why and resistance from existing primary care not wanting to lose their patient population to the "shiny new centers" that are popping up. And that has an influence on patient decisions. When it's actually in a model that's not conflicting with current care, but actually synergistic home based. We don't have the technology ceiling. The enrollment rate is much higher. So, we're last checked, I think a little bit north of 60% of eligibles, clinical eligibles are actually enrolled in Clover home based primary care, obviously, the most acute portion of population while we're growing at a pretty rapid clip as well. Importantly and unfortunately, since late March 2020, we were not able to physically be in the home. And so, our home based Primary Care Program, has only been able to go back physically into the home, in February of this year. We still maintain and grew the program, but it was wholly virtual, and there's no doubt the clinical impact is much, much lower, when we're not able to be in the home. So, we do think we're hopefully going to see that impact comeback and scale in a lot more effective way than it did prior to COVID. I think one other kind of important thing to add, is we just launched in a small way in some initial markets, our own, wholly-owned palliative care program as well. And we'll start to see the positive clinical effects of that over the next couple of years as well.
Operator: Our next question comes from Kevin Fischbeck of Bank of America. Please go ahead.
Kevin Fischbeck: I wanted to follow up on the regional MLR data. I guess, during COVID, you guys have talked a lot about how New Jersey got hit harder from a hospitalization perspective during some of the COVID spikes. It sounded like you viewed the improvement to become coming through engagement and maybe re-pricing and you didn't really signal out unusual costs, I guess. Is it in area now the view that we look at it for the year, that 120 serial number, but it needs to be brought down? Or is there any kind of elevated disruptive cost that you think is kind of a natural tailwind to South Jersey?
Andrew Toy: Yes, absolutely. So definitely, like, as we look at data, this is a place where after getting a full year of data, we can break it out more, it's difficult with the COVID effects, like you said, and that's why we wanted to share it now as part of this particular set of results. We do think that the way that the healthcare is working, the way that COVID effects work as well within these markets is that, certain regions have a bit of a multiplier effect. So the way that health care is delivered in South Jersey makes it be hit a little harder on the COVID front, but from the admissions, et cetera given the population mix over there, like we said, we always serve a more underserved mix, particularly in that market as well, which is all fine. And these are things that we can absolutely manage. But it was a magnifying effect that we got from COVID. So it's a little too early and we're waiting for data signals to see that as we revert back to hopefully a more normal or a little bit post-COVID world, what the effect will be in South Jersey, but I really did want to show that to your point, like the MedEx side of things were different from a different regional basis. And this is something whereby given how fast we're expanding, given how fast we're growing, it makes sense for us to look at our cohort data in this way and by market and geography as well.
Kevin Fischbeck: And I guess so that sounds like getting people engaged with the Clover Assistant such a big part of the story in the cost control going forward. Want to go back to that kind of lives. In one of your early answers, you made it sound like a lot of that lower penetration is actually coming from new markets. Is that the way to think of it in the more established markets, the penetration rates are increasing, but it's the new markets where it's bringing down the average? And then, I guess, any stats just show about kind of -- I was under the impression that kind of doing the Direct Contracting was really going to help accelerate that I would expect to see a higher percentage of MA lives go up because you'd be engaging doctors a lot more ways, which means you've captured more and more patients, but it's sort of surprising to see it coming down even though you are growing in new markets a little bit surprising to see come down. So maybe any color on that?
Andrew Toy: Yes, so definitely a big test the way you framed it there. So, the way to think about that is that all the effects you're saying are there are between the synergies between fee-for-service and the MA population within a given doctor's panel. When we have a market say like Georgia, where we like grew a lot in one season. Part of that is, is that we don't go in and just sort of covered Georgia with CA, what we do is we approach doctors who have meaningful numbers of lives and say, look like you work about the Clover Assistant, and we have very good uptake on that program. There is however, some lag between when because we're growing so quick stay in Georgia for us to identify which doctors to work with, because we need to pull that data in and we're getting better and better at that. So what you'll see is we'll go and then our team will look at doctors who have material Clover Assistant alive, who have potential opportunity on the fee-for-service size, and we'll start doing that B2B motion we've talked about where we go, it's like a sales motion talk to a doctor sign them up to UCA. So, we feel good that the story resonates well in all markets. It's just that where we have significant sort of percentage year-over-year growth. There's a natural effect where it takes a little longer for us to go identify those stocks, get them signed up, get them live, and then they'll move under management. So, we feel like we'll be okay there.
Kevin Fischbeck: But the penetration did increase in your core markets?
Andrew Toy: Correct, we're always moving up to the right.
Operator: Our next question comes from Jonathan Yong of Credit Suisse. Please go ahead.
Unidentified Analyst: Hi everyone. It's, Nick on for Jonathan today. Thanks for taking the question. Would you mind giving us some color around sort of non-COVID utilization trends exiting the quarter and kind of how you see those progressing for the rest of the year?
Andrew Toy: Non-COVID utilization trends?
Unidentified Analyst: Yes, correct.
Andrew Toy: Basically, what we're seeing -- yes, so what we're seeing right now in the index, it's kind of like the reverse form of the COVID question is it's a little bit difficult for us to disconsolate what is in the COVID trend versus a non COVID trend, because what we really have is like conditions of procedures done with a COVID diagnosis, for example, in the inpatient setting, or we'll see how many total COVID diagnosis they are. But with the less severe variance now in play, it's unclear whether it's COVID being treated, how much complexity is being added, whether that's really a COVID thing, a non-COVID thing, and whether or not there's any deferred utilization at play, which I think is part of your question as well. So what we've really started to say overall, though, is that what we see in the COVID data is that COVID is still there, right. We think that there's an effect in the, the high single digit diagnosis rate within our population for any given any given month we looked. That said, we don't think all of that care is appropriately flowing through as COVID care, if that makes sense. By the way, we can hear you typing if you don't mind, if you don't mind meeting. So basically, we don't classify all of that as COVID care and the answer somewhere in between. Generally, the way we -- I would think about it, where what we -- the way we think about it is, we do believe that COVID is normalizing at this point. We believe at some point the government will remove the extra 40% surcharges, et cetera, that are being paid for COVID related procedure care, whether it's just a COVID diagnosis, which would be a tailwind for us. Because we don't think all of that is necessarily going towards COVID care anymore and things will stabilize into our overall MCR.
Unidentified Analyst: And then I guess just as a follow-up moving over to OpEx, which looked like it trended lower towards the guided range of 10% to 12%. Can you give us some insight as to what drove it towards the lower end and how we should expect it to trend throughout the rest of the year? Thanks.
Andrew Toy: Yes, absolutely, and as mark mentioned in that like where we also have loaded a lot of our commissions are front loaded for this year. So, we see those built into our Q1 OpEx number that you're studying there as well. Just want to call that out. So, we are absolutely focused on the path to profitability. Part of that is to still continue delivering, industry building growth, which is critical for us and, and we powered by our wide network model at superior MCRs, and we feel very good about that. And then the third leg of that tool is to also manage and blunt OpEx growth. So, you see that we started to do that. We started looking at that late last year, and we've starting to see those effects flow through now into our actual numbers. And our OpEx rate is growing like slowing, the growth rate is slowing. We have plenty of efficiencies that we believe that we can deliver in this area, given that we've been so focused on growth setting our differentiation proving our differentiated model. We think we've achieved all of those things now. So now is the focus on that path of profitability, and you'll see us talking a lot more about that now and in future earnings.
Operator: We have a follow-up question from Richard Close of Canaccord Genuity. The line is open.
Richard Close: Talk a little bit more about the Clover Assistant adoption. You guys cited the 2018, 2019 and 2020 MCR data, lower MCR data for patients managed by the physicians using Clover Assistant. How are you using that data? I guess when you go out to talk to physicians. How receptive are they? Do they really dig into it and just curious thoughts in and around that?
Andrew Toy: Yes. So, we definitely see, as we say, an improvement as physicians use Clover Assistant more and more, we shared data there before that cohorts based upon when the physician joined. I started using Clover Assistant, the longer they've been using it the better the MCR improvements. And as per the previous question, we continue -- it's a very low churn program. So everyone, once people are on it, the satisfaction is quite high, people stay on the program. And we feel good about that. And it's just now about fast following our geographic and membership growth to make sure we sign up those doctors where they're seeing those docs and we feel good about that as well. When we're talking to our physician partners about the Clover Assistant, I think the key thing is, we're all about making sure that we tell them that we're not here to tell them how to practice medicine, we're not here to tie them to medicine by the numbers, which they don't really want to do at all. We're here to make them successful and value-based care. And many of these physicians have dipped their toe in value-based care, but then sort of like found that unappealing for a number of different reasons. But we're able to show that with Clover Assistant, we truly want to arm them with data so they can decide how to deliver better care. We want them to arm them with a personalized care capability. So, they can customize their clinical protocols to the patient sitting in front of them. The fact that we pay them on a flat basis and not on a moving basis, lets them feel like we're not twisting their arm to any given clinical action, which makes them feel really good. And then we showed them that we have more data available to us as the as the plan. Then they would have in their own EHR and that arm data platform would Clover Assistant is able to pull in things like whether someone has picked up their medication or compliance, sort of like Q2 and given a med like cost comparisons data. All these kinds of things that can make them miss them make better decisions, that whereas their EHR is more seen as like a documentation tool where they're sort of compelled to use it. So all of these things together, let us bring physicians into value-based care who otherwise probably wouldn't participate and stay more on that fee-for-service chassis. And we're seeing that on the MA side, you're seeing that in our ACO Reach DCE growth as well like our market is highly claims aligned because we're able to meet physicians and patients where they are, and they sign up quickly to UCA. So, as these motions synergize more and more, we're still only a year or two of the ACO DCE program after all. We're going to see I think, a lot of adoptions, and we're getting requests now for how can you help us with the entirety of our Medicare panel. And that's something we alluded to is our ultimate goal is to cover the entirety of the Medicare panel and enable physicians to feel like because exceeding value-based care with their entire Medicare panel, and that'll be a really great place to be.
Richard Close: And as a follow-up with respect to the ACO Reach transition, can you talk a little bit how you guys are thinking about that? How you're position to make that transition? Any milestones that you have to achieve or whatnot in terms of altering the business you have now to meet the requirements for ACO Reach?
Andrew Toy: Yes, good question. So, we feel good about our ongoing participation in DCE, which is DCE, which is still pulled back his year. And as a transition to ACO Reach next year, we're one of the biggest Direct Contracting entities that will flow through to us the leading will be one of the biggest ACOs as well. We have a large amount of data which we can use to intelligently drive our growth and drive decisions being made by our physician partners, which we think will be really fantastic as we looked for it to be contributing to profitability. And in terms of the changes that were made to the program by CMS, we're generally supportive of almost all of them, if not all of them. So, there are things about greater physician participation on the board, for example, and we think that's a great idea. We're all about physician empowerment. And so, most of the changes really are things that we're supportive all that we can make in our program relatively in a relatively straightforward way, and we think that we're going to be quite successful in the program.
Operator: I would now like to return the call to Derrick Nueman for community questions.
Derrick Nueman: Great, thank you. Our first community question is. Are there plans to expand to other states in '22, '23? And if so which?
Vivek Garipalli: I'll jump on this one, Derrick. So, it's still a bit early for us to share too much publicly in terms of our expansion thinking. But what we can say just overall strategy is weighted towards going deeper in our existing markets. And that really necessitates a focus on growing the markets that we're currently successful in and where we can continue to drive improvements and MCR. And we've grown significantly over the last year. We've got the luxury now getting more intelligence around our data, a lot of learnings coming from that. And that's going to continue to positively impact MCR as we go into next year as well. And our strategy works best the longer that work in markets. It allows us to continue to increase clinical impact, decrease churn and continued increase in Clover Assistant usage. And I think it's always important to remember that while growing, even today, there's about a little over 1000 basis point differential on MCR for returning members whose PCP is used the Clover Assistant versus those who don't.
Derrick Nueman: Our next community question, anything new about a CFO?
Vivek Garipalli: So we've been focused on significantly strengthening our management team. And we made a few announcements around that just quarter. We brought onboard, brought onboard new Chief Technology Officer, Conrad Wai, who is over the CTO role for myself, a new General Counsel, Joe Martin. And then, we just announced I think today, our new Head of Value-Based Care, again, emphasizing our focus on the ACO Reach program, and the fact that we truly believe that Clover Assistant can help us bring physicians who normally don't participate in value-based care into programs like this. So all of that are significant strengthening of our bench and we feel great about that. On the CFO front, we're making very good progress. Nothing to directly announce there at this time and our focus is on absolutely getting the right person. And we do have the luxury to be selective here given our strong finance team and our interim CFO, Mark who's on the call. So, we're making good progress. We'll have more to talk about at a future date.
Operator: Our final community question, do you plan on licensing out Clover Assistant, if so, when? And is there demand for it?
Vivek Garipalli: Yes, so excellent question. Nothing to announce at this time, but as I've mentioned previously on the call, our goal is absolutely to cover the entirety of a PCPs Medicare panel and make it easy for them to deliver great data driven care and be successful in value-based Medicare. And we are actually getting a lot of inquiry from our CA partners around that because they really -- there's no difference between how they care for folks clinically, folks who are on Medicare based upon which Insurance company or what their form of insurance is, whether they're on M&A, Clover M&A, fee-for-service. And so, they want to bring all of that together and have central place that they can manage those capabilities. And we can provide that with Clover Assistant. So, we believe there's a significant opportunity here for us to really play that role with CA for our physician partners. And we are definitely looking at that. There's a huge advantage coming from a Medicare Advantage plan for having built a tool. And now, we are looking at ways that we can scale out to other parts of the physician's Medicare panel as well.
Vivek Garipalli: And just to close, while we feel very good about where we are today, there's really great and really hard work being done this year to drive continued progress and enabling this is the Clover System, it's providing us a growing technology moat while we're making a meaningful and positive impact in health equity, along our mission to improve every life. Thank you everyone for joining us today.
End of Q&A:
Operator: This concludes today's Clover Health's first quarter 2022 earnings call on webcast. You may disconnect your line at this time. Have a wonderful day.